Operator: Greetings and welcome to the Rand Capital Second Quarter 2017 Financial Results Conference Call. At this time, all participants are in a listen-only mode. And a question-and-answer session will follow formal presentation. [Operator Instructions]. As a reminder, this conference in being recorded. I’ll now turn the conference over to your host Mr. Pawlowski, Investor Relations for Rand Capital. Thank you, you may begin.
Deborah Pawlowski : Thank you, operator and good afternoon, everyone. We certainly appreciate your time today for our inaugural quarterly earnings conference call. We will be addressing our second quarter 2017 financial results and our progress and we’re excited about having this new forum with which to discuss this with you. On the line with me today are Pete Grum, our Chief Executive Officer and Dan Penberthy our Executive Vice President and Chief Financial Officer. Pete and Dan will be reviewing the results that were published in the press release distributed this morning. If you don’t have that release, it is available on our website at randcapital.com. The slides that will accompany our discussions today are also posted on the website. Looking at the slide deck, if you turn to Slide 2, we show our Safe Harbor Statement. As you're likely aware we may make some forward-looking statements during this presentation and also during the question-and-answer session. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ from where we are today. These risks and uncertainties and other factors are provided in the earnings release as well as in other documents filed by the company with Securities and Exchange Commission. These documents can be found on our Web Site, or at www.sec.gov. So, first let me turn it over to Pete who'll summarize the quarter results and Dan will on go onto comment in detail regarding the financials. With that it's my pleasure to turn the call over to Pete to begin. Pete?
Pete Grum: Thanks, Deb, good afternoon everyone. We're happy to have this opportunity to tell you what's been going on with Rand. For those of who you are following online I'm starting on Slide 3 which highlights our second quarter. We've spent a lot of the quarter, a lot of hard work, commenting on filing our applications to establish our second Small Business Investment Company or SBIC fund with the U.S. Small Business Administration. While the SBA is undergoing their normal review process we got the fund going by contributing 7.5 million of our cash into this new entity. In accordance with the way that the SBA structures these funds we require some debenture commitment and an amount equal to twice our cash contribution into the new fund. We're hopeful to receive approval for $15 million of the debenture leverage later this year. That will be an addition to the 8 million that we currently have outstanding with the SBA and we intend to use these new funds to further our growth strategy. In the mean time in the last quarter we began investing from the new fund under the SBA's pre-licensing approval protocol. We had somewhat of a pent-up demand situation with the low-level investing in the first quarter this year as we're preparing our application for the new fund. As a result, we closed high level investments in the second quarter; 3.35 million. Of that 3 million was from the new fund, and 350,000 was from our previously existing SBIC fund. All of this quarter's investments were following on and the company has already included in our portfolio. As you may know on average we make about three separate investments into each of our portfolio companies during our holding period as they grow and mature. This quarter's investment simply forms of 3 million of debt instruments and 350,000 of equity instruments. Despite between the debt and equity is line with our near-term plan to increase interest income. On the long-term basis as our strategy remains to be more heavily weighted towards equity, recurrence in instruments and to drive capital appreciation within our funds. We ended this quarter our NAV or net asset value stood $5 per share. This results in a reduction at the end of last quarter which is primarily impacted by unrealized losses that we recorded on certain investments. Dan will address more details of that later in the presentation. If you will now turn to Slide 4, I'm going to address four investments that we made during the second quarter which I mentioned a moment ago. Starting on the upper left, our largest investment in this quarter was a $2 million term notes of eHealth technology. eHealth is based in Rochester, New York, provides a proprietary electronic platform to aggregate patient clinical records and images to support medical referrals. The system eases the referral process to both the patient and the clinician, company search more than a half of the top under hostels in the US as well as the leading health information exchanges. Our investment will be used to fund an additionally 84 new jobs over the next three years and to support their plans and digitally organize the growing volume of electronic medical records. Our additional a year ago was in ELP a year ago and with the latest note our investment is $3.5 million, this makes up the second largest investment in our portfolio at the end of June. Let's now refer to upper right quadrant of this side and tell you about GENICON of which we invested an additional $1 million note during the second quarter. The size of this round was $6.6 million and we are joined by some of our co-investors to provide this growth capital. Based on Winter Park, Florida near Orlando, this company is a leading designer, production and distributor of patented surgical instrumentation, is used for laparoscopic or minimally invasive surgery. Interestingly, several of GENICON's shareholders are surgeons who utilize the product so that the company has a direct feedback loop to support their R&D efforts. GENICON has been rapidly growing and expanding was chosen by the society laparoscopy surgeons to receive the 2015 Innovation of the Year recognition. This represents the fourth time that one of their inventions was distinguish by this prestigious organization. We started investing in GENICON in 2015, and our latest investment will represent our fix [ph]. Our total investments is now $4 million making it the largest in our portfolio at the end of June. Now, if you look to the lower quadrant side SciAps, based in Woburn, is a company that develops affordable handheld and other clinical instruments. During this quarter, we invested 250,000 in growth equity and we've participated with various other insiders in the room. The device are using their scientific communities to identify compounds, minerals, elements and materials that are being analyzed in the field. The SciAps instruments uses a variety of spectroscopy depending on the application, this includes X-ray Florescence or XRF, labor induced breakdown spectroscopy or LIBS and RAMAN, which evaluates low frequency modes for standby identification. The products are used in a wide variety of industries and applications including metal, geochemical, military and law enforcement, various labs and field studies, pharmaceutical and elements on chemical analysis. We started investing in SciAps in 2013, this quarter's investment marks our ninth investment. Our total investment in SciAps is valued about $2 million at the end of the second quarter. If you continue following allowing BeetNPath which we invested $100,000 in equity during this second quarter, this is part of our company raises $3.3 million in new equity, which we have been published and $2 million of it came from Advantage Capital which was one of our co-investors in many deals. BeetNPath based in Ithaca in New York is in the Central part of New York State creates [indiscernible], frozen entrees and side dishes from 100% whole grains steel cut oats. Company markets this products to consumers using the brand name of Grainful. Products are gluten free and use non-GMO ingredients. Our initial investment in BeetNPath was in 2014 and this quarter's investment represents our fourth. Our total investments is valued at $650,000 at the end of the quarter. If you can now turn to slide 5, which I'm going to see through one of our portfolio companies Athenex. Athenex we received shares in this company in 2014 when Athenex acquired one of our portfolio companies QuaDPharma, part of that transactions we received cash and shares in Athenex. In June as I shared just recently Athenex has executed a successful IPO initially priced their shares at $11. The shares are currently trading at about $14 per share representing about $790 million market cap per Athenex. We currently hold 46,000 shares and given the trading restrictions associated with these shares we value them at a discount at the end of the quarter. At June 30, we have our shares valued at $614,000 and our financial statements are about $13.26 per share. To tell you a little about this company Athenex is a global oncology focused biopharmaceutical company headquartered in Buffalo, New York, they are dedicated to discovering, developing and commercializing novel therapies for the treatment of cancer, aiming to develop, safer and more tolerable cancer treatment. The proprietary delivery system allows a class of existing high potency oncology drug to be dosed orally to improve patient outcomes and quality of life. The company currently has seven products including one currently in phase 3 and another which they will soon commence of phase 3 study. Next if we can turn to page 5,6. That’s a view of our entire portfolio by revenue stage. We have characterized all the companies with our portfolio based on the current revenue levels from startups on the left and as you go right to expansion and then high traction as you progress to the right. As the companies, we talked about you can see they are in various stages of their growth evolution. BeetNPath or Grainful as we've talked about is in their startup category, SciAps is in the initial revenue stage. Athenex and eHealth and Genicon are all in the expansion phase. As these companies progress to the right, they take a point where they're maturing where our investment strategies and seek out new levels of growth capital or strategic M&A. Accordingly they may start to develop exact plans from our portfolio. That is the case in some of our companies currently in our portfolio of [indiscernible] and is impossible to predict our quickly or slowly such transactions will take, these are all dependent on market conditions. If you turn to slide 7, if you know us and have followed us, you know how diverse our portfolios and that breakdown doesn’t change dramatically overtime. Consistent with our diversity strategy, we invest in almost all industries with the exception of real estate, retail and financial services. Please turn to slide 8, here we have dissected our portfolio into capital characteristics that are equity in two basic choices. Our strategy is always focused on capital appreciation growing NAV. Accordingly our portfolio has been more heavily weighted towards equity as opposed to debt instruments, however we may select our near-term investment objectives depending on the mix of cash flow stream within our portfolio. Currently our mix [indiscernible] on building investment income as I mentioned earlier so that we can develop a cash flow balance to cover our expenses. Let's now turn to slide 9, just give you a snapshot of the top 5 investments in our portfolio based on the market value at June 30th. Our portfolio was valued at 30 million included 29 active companies. The value of our investment in the top five compromised almost half of our portfolio’s value and as you can see there, they are weighted towards the healthcare and software industry. The way I talked about the top two Genicon and eHealth, Rheonix follows closely behind with our investment valued at 2.9 million. Based in Ithaca, New York, Very Rheonix [indiscernible] fully automated molecular assays for use in research labs for both medical as well as food and beverage applications. We started investing in them in 2009. Number four is Outmatch, with our investments valued at 2.1 million at the end of the quarter. Outmatch is in the business of helping companies be more productive, providing tools to facilitate hiring people who are the match for the job. Based on Dallas, Texas Outmatch provides workplace analytics driven from candidate assessments which have been proven to predict employee’s performance. We’ve started investing them in 2010. Rounding up the top five, SocialFlow with our investment valued at 2.1 million, SocialFlow handles online customized advertising for electronic publishers, including Facebook, Twitter and LinkedIn. They also provide data driven solutions for social media marketing campaign. SocialFlow is selected as an ad-tech partner for Pintrest's Marketing Development partner and is based in New York. We’ve started investing in them in 2013. Now with that, I’d like to turn it over to Dan Penberthy, Executive Vice President and our Chief Financial Officer to cover the financial results.
Dan Penberthy: Thanks Pete and good afternoon everyone. If you could please turn to slide 11 and I’ll start with net asset value per share or NAV. As Pete mentioned, we did finish the quarter with a net asset value at $5 per share. NAV reached the peak of 535 at December 31st 2015. The reduction since that time is a natural progression of the Rand portfolio as these companies in our portfolio both to exceed and struggle in their respective markets. As these market dynamics play out at the portfolio company level, we will adjust our carrying values accordingly. Note that net asset value per share is up over 25% from where it was just 4.5 years ago at December 31st 2012. The end of 2015 was the timing of our last exit which was Gemcor. We did realize a sizeable gain on that exit which helped us monetize our unrealized appreciation and helped drive net asset value. Gemcor was also a strong cash flow provider for us and since then we have been focused on rebuilding our portfolio to include more cash flow generating assets. We believe that these investments will help to more fully cover our expenses on a quarterly basis overtime. Additionally, exit such as this do result in Rand realizing in investments full potential. But we do know from experience that we can’t crush exits nor predict their timing. Please turn to slide 12, here I’ve summarized our operating performance for the second quarter of 2017 and 2016 as well as the comparable year-to-date periods. As we’ve mentioned a couple of times here this afternoon, in the near-term we’ve been investing in more financial instruments which increase our interest income and you can see the results. Our second quarter investment income of $349,000 is up 58% over last year and our first half investment income of $678,000 is up 64%; our Q2 expenses of $607,000 did exceed last year, and these are primarily due to higher professional fees associated with the formation of our new SBIC. These costs are essentially behind us now. For the first half of the year our total expenses were lower than last year as last year's expenses did include Gemcor exit related transaction expenses, certain taxes and incentive compensation costs. Regarding our realized and unrealized changes in our investments, these are in accordance with our valuation policy. We've recorded some unrealized losses on certain investments this quarter and earlier in the first quarter of this year, these do reflect the current operating conditions within these specific businesses. Last year's first half did reflect a gain primarily driven by the finalization of our accounting for the Gemcor exit. These factors impacted our bottom line comparability which is the decrease in net asset from operations for each of the periods and the respective per share amount as shown here. Please turn to Page or Slide 13 rather, our balance sheet continues to remain strong; on a per share basis we've $1.04 of cash and $4.70 of portfolio investments. Our portfolio growth has benefitted from and has been partially funded by our past SBA leverage for which we've a $1.27 per share remaining due to the SBA. We also have $0.44 per share of other net assets and liabilities. That all adds up to our net asset value or NAV per share of $5. With that I'll turn it back to Pete.
Pete Grum: Thanks, Dan. In closing hopefully, you can see that there's a lot of excitement going on with Rand and its portfolio of companies. We as management are working hard to take the company to the next level by driving our growth strategy. We hope soon to have this additional SBA capital to put to work and we certainly have a wide variety of opportunities in our pipeline to invest in. So, with that let me open up the line for any questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] And our first question is from Brett Reece from Janney Montgomery Scott. Please go ahead.
Brett Reece: Pete or Dan do you have any plans in the near future to pay a cash dividend or buyback stock to try to narrow the discount between the net asset value and the market price of the stock?
Pete Grum: We're certainly looking at that and that's tied into our current cash flow and the ability if we're going to have a dividend to have it be a consistent dividend, we don't believe a one-time dividend would do much good and buying back of stock which we’ve done historically in the past is also in there. When we get our license which I believe should be from PSP and get some of these companies monetized we'll will certainly look at it closer. And we continue to be in the list of things that we’ve talked about in every board meeting.
Brett Reece: Right, right. I appreciate that and if I could just leave you with just some empirical data. I bought the stock personally in for clients back in the fall of 2013 and I’m happy with all of the progress you guys have made. But at that time, the NAV was around 440 and we’re going on pushing four years this coming fall and the NAV are five and the stock price is 280. So, the extent you can pull out the tool chest to try to narrow that in the foreseeable future, I would appreciate that.
Pete Grum: Thank you. And I appreciate that, we internally feel that is personally management and the board have been the big buyers of the stock, at the end of the year we made substantial purchases personally and the board members, but I think your feedback is more warranted.
Operator: Our next question is from [Indiscernible] Advisors. Please go ahead.
Unidentified Analyst : I got a question, I think it’s a two-part question. The first is how do you determine when you make an investment, where you want to be in the capital structure of the company investing in. And number two, how much is that influenced by your need for income to support the operation of the business. And then I guess the third which is once you get this new funding is that going to change any so that you're maybe be looking at a higher risk, higher reward tranches in the capital structure of these companies that you may take a look at.
Pete Grum: Let me kind of backward to your question. With the new funds, certainly in the beginning and as you’ve seen with our recent investments, we will probably be more on the debt side or the comfortable debt or mezzanine debt with these companies. As when we started our other SBIC, we need to get it up and running and covering those expenses and our first couple of investments out of that new fund have been debt type instruments which are probably less risk and less reward. To your original question about what we do on the capital structure when we go in, as you know we always invest with other institutional investors, with that said we never really buy common stock public shares. But we also want to make sure that with the people that we invest in, we’ve got enough money around the table to bring the company to fruition. We tend to be a little more patient than most people I think in general we’re end about five years and we’ll continue to look at that, but in the beginning of this fund, we’re going to do more debt type investments. I don’t know if that answered all your questions.
Unidentified Analyst : Pretty much, I’m trying to figure out what you can do as an entity to get into the -- if you feel it's appropriate to get into a higher risk, higher reward situation that may inspire investors in the company and then number two, that whole thought, is that any influenced by the fact that unlike a lot of venture capital firms that have kind of termination dates, this is kind of a business in perpetuity?
Pete Grum: Well it is and it's my goal as a company to be in being perpetuity and as we has been around for 40 something years and I think we'll continue. Really our portfolio that we've invested in the last 10 years has been fairly high risk, high returns. I was looking the other day our IRR of companies that we've exited of the 50 that came into the SBIC we've invested and we've exited about half and they've been I think three times our money and IRR in the mid-20s which we're happy about. We're as frustrated as I think any anyone that has not translated into a growth in the stock price, part of the reason we're having these calls and we've engaged key advisors is take a more professional approach to investor relationship. The management of the board is very disappointed with what's happened to the stock price, there no way to really get around that.
Dan Penberthy: And this is Dan Penberthy in regards to kind of how we invest in the capital structure, much like when we first started with our first SBIC found in 2002, some of the first several investments which we did lead were subject with warrant structures and those warrants, those were companies like Sinacore, Liaison, RAMSCO although the original warrant instruments ended up being where we drove most of our investments value with final realization so the subject was warrant structures something a structure with I think RAND can make money and return the higher equity returns that both management and our investors are looking for while maintaining some of the creditworthiness of a subject portfolio.
Unidentified Analyst: Great. And I think -- just to make the comment that your batting average is pretty darn good and when the swinging the bat has been productive, I'm just trying to [indiscernible] with you and chow out some thoughts to how do raised interest in what you're doing in a period where no one wants to own anything other than an S&P 500 ETF. So, it's kind of an uphill battle at the moment and if you guys can figure this out, my hat's off to you and I agree I think, this call is both appropriate and well done by both you folks and [indiscernible]. So, my hats off to you.
Operator: [Operator Instructions]. And we've another question from Brett Reece from Janney Montgomery Scott. Please go ahead.
Brett Reece : Thanks for taking an additional one. What do you seen interest rate on the term note with the eHealth? I don’t think I heard it or saw it on the slide.
Pete Grum: We disclosed in our consolidated schedules of portfolio investments, the full detailed type of investment that we make by instrument as well as the cost and fair value of those. In that disclosure, we have the e-health note at 10% with the maturity of 2019.
Operator: Our next question is from [indiscernible], SCR Asset Management. Please go ahead.
Unidentified Analyst : Yeah, good afternoon Pete and Dan. You really have done a wonderful job with your investments and as I’ve indicated all along, I’m a very long-time shareholder but the market is not willing to recognize it and I think the inability of people to buy stocks that are not paying a dividend would produce a large portion of additional investors who can invoice the stock. I appreciate that you’re going to consider this. And when do we expect to get the money you said later this year from the 15 million, is that could happen in the fourth quarter or is it possible to be in this third quarter?
Pete Grum: Well I want to make sure I answer this correctly. The way we would get that is probably been asked by the SBA to apply. We’ve done the application, well they’ve give us some feedback and we’re working on that. The next step would be for us to be granted a license and I fully think that will be the third quarter. With that happening, we will be granted the ability to borrow if everything goes right up to $15 million. We have already taken 7.5 million of cash and put it into the subsidiary. We would invest that first and draw down the leverage afterwards. So, there is two parts to getting the money. They are getting the approval for it and then actually using it. And we invest about 5 or $6 million a year to give you some perspective and we also have in our portfolio companies that I believe will exit over the near-term timeline. I don’t know which ones and I can’t really predict but that will provide money for us also to pay down the outstanding debt and then also to put into to new investment.
A - Dan : And this is Dan Penberthy, to continue on that what the SBA will do is when we’re licensed we will pay an upfront fee of 1% to the SBA and that will guarantee the $15 million of excess to SBA leverage for between a 4.5 to 5-year period depending on the final date in which we’re licensed. And then the money is available to be drawn as needed when we identify transactions. So, we’re not required to take down the full 15 million and bear the interest burden on that, we can draw it down as needed on an individual transaction basis.
Unidentified Analyst : Okay. So, your expectation, even though you may get approval you won’t need the money based until you’re fully invested and it will be gradually to pull down the money.
Pete Grum: Correct.
Unidentified Analyst : With the one thing with the book value being $5 and the stock trading at 275, that’s more than a 40% discount. So along with the dividend you've authorization for 458,000 shares, to the extent that you can buy some shares, even though this would reduce your ability to lend, the return on equity would be pretty significant because your book value would go up and that sort of my light the fire of other investors that they see how you're putting your money to use, what do you think of that?
Pete Grum: I think all things equal and having a lot of money, I would do it immediately but we're really a lot of cognizant on competing cash flows until we get this next license put together and we can look at excess and figure out how that goes, but you're correct in your conclusion and I wish we had a lot of extra money on the balance sheet.
Unidentified Analyst: So, in final conclusion you guys have done a good job increasing the value of your asset for all shareholders but unfortunately the public shareholders are not getting the benefit because they -- as your large shareholders keep selling he needs to -- he's selling at a discount, so to the extent that you can figure out how to move the stock up and get other people involved, this would be a strong reason, the dividend clearly say a nickel, a quarter, $0.20 that would be a phenomenal dividend relative to what's going on and that should maybe produce the stock maybe move up to 350 or someplace higher, so that's my suggestion for you, good luck and hopefully you achieve the better results for the shareholders.
Pete Grum: Thanks, and that's great feedback and I will point out that this 15 million -- both the $7.5 million and the $15 million of SBA leverage commitment will be held at a subsidiary level that is available only for investments. So, we cannot move that money up stream, it's up to the parents to pay dividends or buy back stock.
Operator: This does conclude the question-and-answer session. I'd like to turn the floor back over to Mr. Grum for any closing comments.
Pete Grum: Thank you everyone and this is our inaugural call and I appreciate all the answers and questions. We appreciate all your time today and look forward to updating you again with our third quarter results in November. Feel free to call us individually, we're always there, and I appreciate the feedback and have a great day.
Operator: This concludes today's teleconference. Thank you for your participation. You may disconnect your lines at this time.